Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Research Solutions' financial and operating results for its fiscal 2026 first quarter ended September 30, 2025. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, John Beisler, Investor Relations.
John Beisler: Thank you, operator, and good afternoon, everyone. Thank you for joining us today for Research Solutions First Quarter Fiscal Year 2026 Earnings Call. On the call with me today are Roy W. Olivier, President and Chief Executive Officer; Bill Nurthen, Chief Financial Officer; and Josh Nicholson, Chief Strategy Officer. After the market closed this afternoon, the company issued a press release announcing its results for the first quarter of fiscal 2026. The release is available on the company's website, researchsolutions.com. Before Roy, Bill and Josh begin their prepared remarks, I would like to remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed or implied due to a variety of factors. We refer you to Research Solutions' recent filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the company's future operating results and financial condition. Also on today's call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. A reconciliation of those measures to GAAP measures is included in today's earnings press release as well. Finally, I would like to again remind everyone this call is being recorded and made available for replay via link on the company's website. I would now like to turn the call over to President and CEO, Roy W. Olivier. Roy?
Roy Olivier: Thank you, John. The first quarter continued our progress in improving our B2B new logo sales teams as well as our transformation to becoming a comprehensive SaaS and AI solution for scientific research. It is the strongest organic first quarter B2B results on record. Total ARR for the quarter is up 21%, driven by that strong B2B performance. That performance includes closing some of the largest deals in the company's history, including new platform sales to Real Chemistry, a top 10 pharma company and others. This resulted in the company's ASP increasing and also contributed to driving our second highest quarterly adjusted EBITDA result as well as strong cash flow. I'd like to pass it over to Bill to walk you through the financial -- I'm sorry, the fiscal first quarter financial results in detail, and then I'll wrap up with some comments and outlook for the remainder of the year, and Josh will discuss our strategy. Bill?
William Nurthen: Thank you, Roy, and good afternoon, everyone. Total revenue for the first quarter of fiscal 2026 was $12.3 million compared to $12 million in the first quarter of fiscal 2025. Our platform subscription revenue increased 18% to $5.1 million. The growth was primarily driven by a net increase of platform deployments from last year as well as upsells and cross-sells into our existing customer base. We ended the quarter with $21.3 million in annual recurring revenue, or ARR, up 21% year-over-year, which consisted of roughly $14.8 million in B2B ARR and approximately $6.5 million in normalized ARR associated with Scite's B2C subscribers. By Q1 standards, this was a strong quarter for ARR growth. Total incremental ARR for the quarter was $375,000 compared to $195,000 in the prior year quarter, which represents a 92% increase. Moreover, B2B growth was especially strong at $561,000 for the quarter, up from only $128,000 last year. While we did experience a decline in B2C ARR, last year's increase was relatively minimal in what is seasonally a challenging time for B2C growth. Additionally, on a positive note, we are also seeing an increase in B2C leads that are transitioning into B2B business. Please see today's press release for how we define and use annual recurring revenue and other non-GAAP items. Transaction revenue for the first quarter was $7.2 million compared to $7.7 million in the prior year quarter. You may recall from our fourth quarter fiscal year 2025 earnings call, in which we discussed an 8% decline in transaction revenue that we expected transaction growth to continue to be challenging minimally through the first half of fiscal 2026. As a result, the decline for the quarter was in line with our expectations and was actually a little improved over the decline we experienced in the fourth quarter of fiscal 2025. Our total active customer count for the quarter was 1,326 compared to 1,390 in the same period a year ago. Gross profit for the first quarter was $6.2 million, up 8% from the prior year quarter. Gross margin was 50.6%, a 270 basis point improvement over the first quarter of 2025. The increase is due to the ongoing revenue mix shift towards our higher-margin platforms business, which was also enhanced by expanding gross margins in the Platforms business. Platform revenue accounted for 42% of the revenue in the quarter compared to 36% in the prior year quarter. On a trailing 12-month basis, the company blended gross margin now stands at 50%. The Platform business recorded gross margin of 88.1%, a 70 basis point increase compared to the prior year quarter. We have been able to continue to expand gross margins in the Platforms business as our labor and hosting costs continue to increase at a proportionately slower pace than our revenues. Gross margin in our transaction business was 23.8% compared to 25.7% in the prior year quarter. The decrease was primarily attributable to lower copyright margins and lower fixed cost leverage due to the reduced revenue base. Total operating expenses in the quarter were $5.3 million compared to $5.1 million in the prior year quarter. Higher sales and marketing expenses were partially offset by lower general and administrative expenses and lower stock-based compensation expenses. We have made a concerted effort to keep general and administrative costs contained as we increase investment in other parts of the business. Net income for the quarter was $749,000 or $0.02 per diluted share compared to $669,000 or $0.02 per diluted share in the prior year quarter. Adjusted EBITDA for the quarter was $1.5 million compared to $1.3 million in the year ago quarter, a 16% increase. This was the second best adjusted EBITDA performance in company history and with Q3 and Q4 typically being our strongest quarters for adjusted EBITDA, we are off to a very strong start for the year. Turning to our balance sheet. Cash and cash equivalents as of September 30, 2025, were $12 million versus $12.2 million on June 30, 2025. It is important to note that during the quarter, we made our first payment of the Scite earnout, which consisted of $1.3 million in cash and the issuance of approximately 265,000 shares. Despite the cash outlay related to the earnout, we are almost back to where we ended Q4, which means our operational cash flow remains very healthy. Cash flow from operations was $1.1 million compared to $843,000 in the first quarter of fiscal 2025, a 31% increase. We continue to believe that we can grow our cash balance in fiscal year 2026, while also continuing to service the Scite earn-out from operational cash flow. Further, there are no outstanding borrowings under our revolving line of credit. As we look ahead, we are off to a good start for fiscal year 2026. As you may recall from our prior earnings call, I discussed some of the seasonality in our business with respect to adjusted EBITDA. Typically, we see a dip in adjusted EBITDA between Q1 and Q2 before rebounding to higher levels of adjusted EBITDA in Q3 and Q4 with Q4 usually being our best quarter of performance. We think that it is likely that this seasonality will play out again in fiscal 2026, but we think the dip will be less pronounced in Q2 from where it was last year, and there's also a shot at some EBITDA growth sequentially between Q1 and Q2. All that said, our goal remains to experience outperformance to fiscal 2025 in each of the remaining quarters for the fiscal year. To the extent we can execute on that, it will be another record year for the company, and we will continue to experience expansion in cash flows generated by the company. I'll now turn the call back to Roy. Roy?
Roy Olivier: Thanks, Bill. A few comments about the transaction business. In last quarter's call, we discussed that we thought the year-over-year decline was driven by 0 click searches. Further research suggests that may not be the case. Our Academic segment is growing and the corporate segment is declining with about 60% of that decline coming from churned account. The remaining churn dollars are primarily 2 customers who are very large and are buying less year-over-year. Both report that this is based primarily on the current economic environment or changes in their research priorities. In short, 3 customers are largely driving the year-over-year results. As you know, we started investing about this time last year in more of B2B sales resources. We continue to actively monitor these investments to ensure that we are seeing a return on them. In looking at the first half of FY '25, actual results versus our current forecast for the same period in FY '26, we expect to see new ARR growth to be materially higher than the incremental sales investments we made. We expect the new logo teams to generate over $1 in new ARR for every dollar invested. We expect to see the churn upsell team generate a bit under $1 in new ARR for every dollar we've invested. This suggests a payback period of a little over 1 year on products that have a 6- to 8-year lifetime value. In my view, we need to continue to show improvement on the upsell churn teams, but overall, the investments we have made are working. As previously discussed, the new sales process is resulting in rising ASPs. We continue to set records in terms of total contract ARR and per seat ARR through better sales execution, especially with our AI-based products. While we saw less-than-expected B2C net ARR growth in Q1, we are starting to see more traction toward B2B strategic revenues from B2C. As you know, B2C are primarily month-to-month subscribers who are attending school or researchers in a corporate account that are trying out the product. We are seeing an increasing number of those users try the product and then report back to their academic or corporate enterprise that it should consider an enterprise subscription. A year ago, in Q1 FY '25, about 50,000 of our total sales pipeline came from this B2C to B2B channel. At the end of Q1 FY '26, over 1 million of our pipeline came from B2C. Now I'd like to turn the call over to Josh to talk a little bit about our current thinking on product strategy. Josh?
Josh Nicholson: Thanks, Roy, and hello, everyone. I'm going to spend a few minutes connecting what we're seeing in the market to the strategic decisions we've been making over the last few quarters, especially around AI rights, Scite, Article Galaxy and our role with publishers. A few key trends worth calling out. One is enterprises want to use AI on their articles. Another is publishers are moving into AI licensing. Then a third one is the AI usage of articles is not being tracked. In response to these market trends, we have made various product additions, tweaks to our go-to-market offerings and made sure we're aligned with where the market is going. On the first point, enterprises wanting to use AI on research articles, we've launched an AI rights offering in Article Galaxy called [ RightsDel ]. RightDel allows the researcher to acquire AI rights for documents they already own. The revenue we charge for those rights is split between the publisher and research solutions in a similar manner to the transaction business we have today. This gives publishers a way to monetize AI usage of their content either on an article-by-article-by basis or across the company's existing library. We believe this will grow platform seat revenues, lead to more cross-sells, increased transactional purchases and ultimately decrease churn. On the second point, publishers moving into AI licensing, we are working with our publisher partners to offer an AI gateway product based on Scite, in which customers can purchase the rights to use AI with all of that publisher's content to materially improve the productivity of their research teams. This would create an ARR upsell opportunity for publishers in their academic and corporate customers and as a revenue share with research solutions while deepening our role as their AI technology partner. This is a major challenge for our industry, especially the long tail of medium and small publishers, and as we solve this gap, it could make Scite's smart citations a key part of AI infrastructure and a key partner to publishers. On the third point, AI usage of articles not being tracked. Today, the industry standard is counter-compliant usage metrics. These usage metrics show how many times articles have been downloaded or read, and they're central to how libraries and publishers assess the value and ROI of subscription spending. There is no equivalent for AI usage today. By working with publishers to deploy our AI gateway, we can introduce AI-specific usage metrics that play a similar role to capture for traditional usage, giving publishers visibility, creating a basis for pricing and value discussions and enabling a clear upsell and revenue share opportunity for AI analytics and rights on top of existing subscriptions. This would be a huge value to both the publisher and our corporate and academic users. Researchers expect tools like Scite Assistant and Article Galaxy to help them answer concrete questions, summarize bodies of work and find key insights across many articles using AI. We believe we're well positioned to do that in a copyright compliant way that delivers real value to customers while generating new sources of revenue for Research Solutions and our publisher partners. Thanks again for having me, and I'll turn it back to Roy.
Roy Olivier: Thanks, Josh. Looking forward, we expect to focus on several areas for the remainder of the year. First, improve Scite B2C net ARR growth through product improvements, the pace of delivering those improvements, the marketing and sales messaging around our unique capabilities in this segment. Second, continue to show improvements in overall ARR growth and ASP growth through better sales execution and improving our products. Third, demonstrate improvements in the retention and upsell part of the business by driving proactive versus reactive customer engagement through better health scoring and product improvements. Fourth, continue to innovate in the transaction or dockdel space to return that business to a flat to slow growth business; and lastly, manage our cost structure to continue progress toward our goal of a weighted Rule of 40. With that, I'd like to turn the call back over to our operator for Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from Jacob Stephan with Lake Street Capital Markets.
Jacob Stephan: Nice quarter on the B2B growth and on profitability as well. I just want to talk about the attach rate on the AI rights add-on product. Maybe you could help us think through attach rate on kind of new logo deals versus kind of current customer add-ons? Maybe just part B of that question would be, how significant is that in the overall ASP uplift that we're seeing?
Roy Olivier: Yes. I don't think we have a clear answer to either of those questions. The product is brand new. We've sold it only to some existing customers, and we are currently signing up more-and-more publishers to participate in that product. I think the next quarter or 2, we'll start to get better visibility on an attach rate. To your second question, there has been some industry chatter recently about what type of uplift on ARR SaaS or AI? Well, vertical SaaS companies expect by adding AI to their vertical SaaS solution. One of those studies suggests the uplift opportunity is about 50% of the ARR. As a reminder, our kind of AG business is about $11-point-something million in ARR, so that could be a material uplift. However, we have a long way to go before we really understand what the real rate is going to be. Bill or Josh, feel free to add to that.
William Nurthen: Yes. I'll just say that it was not a big contributor to the ASP increase for this quarter. That was more the larger new logo deals that Roy talked about earlier in the call.
Jacob Stephan: I'm wondering also maybe you could help us think through some of the overall product strategy shift in B2C. Maybe how are you planning to actually increase the attach rate and the net churn as well? That would be helpful.
Roy Olivier: Go ahead, Josh.
Josh Nicholson: I think from the product perspective, how we got to success was pretty critical on every single aspect from sign-up to completion of using, say, Scite search or Scite assistant. I think we lost a little bit of that and slowed us down in kind of the velocity, and so we're back on pace and I think rigorously looking at every single metric from sign-up to conversion and rigorously testing, right? A lot of testing to optimize and make sure that we're competitive with that. I think that's maybe a little bit of a reflection of joining a company where it takes some time to kind of get into that fit or swing. I think now the velocity has really hit. I think product is starting to catch back up.
Roy Olivier: I think just to comment on that further, we have obviously much more competition today than we did a year ago, and that is certainly impacting the conversion rate on the product. I think Josh and the team are doing a lot of really great work now in terms of rolling out product improvements that we think will materially move that conversion rate back up to where we'd like it to be. Churn on that product has actually been improving. Churn is going up, lifetime value is going up. The issue we're having is new subscriber sign-up conversion from trial, which is not where we'd like it to be and not -- it's below where it was last year. I think that's partly product and partly messaging and being clear about the distinct advantages we have by having access to content behind the paywall.
Jacob Stephan: I'm wondering if -- maybe you could help us think how long is the trial period on that product? Are you seeing that maybe students sign up for just the trial and then cancel it basically to get them through one paper or something like that? Is that kind of what you're seeing?
Roy Olivier: Yes. churn is improving. In other words, we have materially less churn this year than a year ago. They're not signing up and they're not signing up for 7 days and leaving. Lifetime value is going up. However, in the spring, people cancel because they're going to be out of school for summer and then they resign up in the fall, and so the re-sign-up process or attracting new people in the fall is where we go through a trial, which Josh has mentioned is 7 days, and then we convert that to subscribers, and our conversion rate is not where we'd like it to be. Sorry, Josh, go ahead.
Josh Nicholson: Yes. I was just going to say, it is 7 days. In many cases, the product has improved significantly in terms of the output you get out of it where it was, you can get a few paragraphs, you can get now a 15-page fully referenced report. To your point, sometimes the success of the product means they're solving their problems quicker, and so we think about all these different aspects, not just conversion rate, but how many queries are they doing, what is the weekly active users, monthly active users. I think, again, we need to be really disciplined in looking at those numbers across the board and then optimizing kind of the product decisions around what gets deployed. Does that increase the conversion rate? What does that do to the lifetime value of the customer and then also the usage of various KPIs. We are, I would say, in a much better position now. We've also started to really leverage a lot of AI in our own development work, which has greatly accelerated the ability to deploy new features and a lot of UI/UX changes that are necessary for testing. You can easily run a test on this button moving here versus there and what does that do to conversion rates and things like that.
Operator: Our next question comes from Richard Baldry with ROTH Capital.
Richard Baldry: Hoping you could drill a little deeper into the, call it, non-typical or non-seasonal strength you saw in ARR in the first quarter that looked up versus prior years, and it was multiples of what you've seen before. Can you sort of break down where you think that's coming from? Was there any sort of pull forwards that we have to be cautious about looking forward? Or is there something sustainably higher going on there?
Roy Olivier: Yes, there was no pull forwards. I would say, over the last year, we have upgraded well over half of our sales teams. We've spent well into the 6 figures on training an entirely new sales process where we work with the customer closely to understand the problem we're solving and assess the value of solving that problem for the customer and then pricing accordingly. I think just having a much more disciplined and focused sales process in addition to marketing is doing a great job driving top of the funnel leads into that sales team resulted in the ARR that we posted. Bill or Josh, you're welcome to add to that.
William Nurthen: I'll just add that the -- some of it also was again, some of the larger deals, but I think that's not a onetime thing. Again, we started talking about it last quarter and then obviously some this quarter. The sales team is focused, and I know we have other deals in the pipeline now that are kind of some similar size to some of what we saw in Q1. That definitely helps the situation when you can land 1 to 2 to 3 of those in a quarter. I think that's something that we have a chance to do each quarter going forward as well.
Richard Baldry: Switching to the expense side. The G&A is the lowest in almost 2 years, I think. Again, anything onetime oriented there or sort of out of pattern that would reverse itself? Or is this sort of a sustainable level? How do we think about that forward?
William Nurthen: Yes. As I said, we had some concerted effort to keep the cost down. I think in some prior quarters, we may have had some legal and stuff. We did have an executive departure at the end of last quarter, so some of that reduction there is that executive no longer being in the business, and we were sort of able to kind of replace that with some resources that are just more efficient from a cost perspective. I do think it's decent sort of to think about it as a run rate with maybe a little bit of exception here and there as being a little bit low, barring some kind of something that drives legal expense or a onetime recruiting item of some sort, I think we can modestly increase that through the year.
Richard Baldry: Then last for me, sort of switching gears to AI internally as opposed to talking externally. This seems like the pace of new offerings from the companies is increasing. How much is AI enabling sort of either efficiency gains or productivity gains? How much more do you think you can do with that? We're sort of hearing that a lot of companies are really embracing it internally, not just externally now.
Roy Olivier: Go ahead.
Josh Nicholson: Yes. I would say on the internal side, we've made some changes. They're not fully kind of deployed across all of the team, but a lot of that is the AI to greatly speed up development, and it's pretty inspiring to watch. So a lot of this copilot and different AI coding tools are now part of a workflow from senior developers to junior developers. We've clearly put in guardrails in place and rules to use this AI, and so it's secure and it's largely done around light UI/UX changes, so not large features. It's hard to quantify it, but it is dramatic. I think that allows us to shift a lot of things that are important to the business that might seem superficial, but matter a lot, right? Again, that is the workflow of getting that PDF in a second, making sure you're AI compliant using that PDF, asking a question and getting an answer from the literature, all those things built on that foundation of relationships and data that we have needs to be done seamlessly. I think the AI tools that we're now using primarily in development are greatly accelerating the pace. I think we'll continue to see that pace as it rolls out to more teams and more people on the development teams.
Roy Olivier: Yes. The only thing I would add to that is I think in the next 1 to 2 quarters, we'll be implementing some AI on the support side of the business to improve that. I don't think the development AI impact that Josh talked about or the support team impact is going to result in cost structure reduction. If anything, what it's going to do is free up software engineers to work on the more important stuff or it's going to free up support people to do a better job covering our existing support workload unless we see an unusual percentage of our account base start to use the AI chat tools to solve their issues as opposed to sending in a ticket to us, if that makes sense.
Operator: [Operator Instructions]. Our next question comes from Derek Greenberg with Maxim Group.
Derek Greenberg: I wanted to touch on just the transaction segment. You guys had called out already that, that was largely due to 3 customers churning and largely first half will be impacted. I was wondering if you had any visibility into the second half yet? If maybe we'll see potential release due to just lapping when the initial declines had happened.
Roy Olivier: Yes. Just to be clear, it's 3 customers, 1 churn, the other 2 are simply buying less year-over-year, so they didn't churn. It's just reduced spend on their side. In terms of visibility in the second half, certainly don't think I do. Bill, do you have any comments on that?
William Nurthen: We really don't. I think part of the reason we said that we think the second half will be better is we started experiencing the sharp declines in January of last year, and it really sort of accelerated in February. We are seeing a little bit of stabilization. As I mentioned, the decline this quarter was a little bit less than last quarter. We're seeing some things that we're seeing growth in our academic business, and we're obviously adding more platform customers. When you look at that, that's more hunch than anything at this point that we'll start to see improvement. I'm not saying it will necessarily be growing in Q3 and 4, but hopefully, we're seeing a reduction in that decline just given some of those factors.
Derek Greenberg: Then in terms of second quarter, I was wondering if you saw any impact from the government shutdown regards any of your end markets, your customers?
Roy Olivier: No, we have not seen material impact in government. Well, in government, corporate or academic.
Derek Greenberg: Then I was wondering if you could just give an update too. I know on the last call, you kind of introduced this concept of a headless strategy plugging directly into customers' workflows. I was wondering if you had any updates there, that would be great.
Roy Olivier: Really no updates other than we continue to make product changes to be where the [indiscernible] is going. We continue to support many large customers with that strategy today. I would say, I don't know what the percentage is, but a material part of our pipeline is headless work because more of our larger corporate clients are frankly building their own internal LLM or tool set. So what they're looking to do is connect us into the parts of the workflow where they need specific problems solved, whether it's AI rights, document rights, citation information or something else.
Derek Greenberg: Then just my last question was just on M&A. You guys have previously said you were expecting at least one acquisition this year. I was just wondering how the pipeline is looking, how the market is looking, if there are any updates there?
Roy Olivier: Yes, active pipeline, good discussions. I don't think we have something that will close by the end of the year, but we have a lot of things that are pretty close.
Operator: Thank you. This does conclude today's question-and-answer session. I will now turn the call back over to Roy for any additional or closing remarks.
Roy Olivier: Well, thanks, everyone, for joining us on our call today. Bill and I will participate in the Southwest IDEAS Conference on November 20. Qualified investors interested in participating should contact Three Part Advisors. We look forward to speaking with you in February to discuss our second quarter fiscal 2026 results. Have a great day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.